Operator: Hello everyone. Thank you for standing by and welcome to Neonode’s Third Quarter ended September 30, 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. At this time for opening remarks and introductions, I would like to turn the call over to David Brunton, Neonode's Senior Vice President of Corporate Investor Relations. David, please go ahead and start the conference.
David Brunton: Welcome and thank you for joining us. On today’s call, we will review our third quarter financial results, and provide a corporate update. Our update will include the details of customer activities, technology developments, and other items of interest. The prepared remarks will be provided by Thomas Eriksson, our CEO and Lars Lindqvist, our Chief Financial Officer. Before turning the call over to Thomas and Lars, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call other than historical facts are forward-looking statements. The words anticipate, believe, estimate, expect, tend, will, guides, confidence, targets, projects, and other similar expressions typically are used to identify forward-looking statements. These forward-looking statements do not guarantee the future performance that may be involved or are subject to risks, uncertainties and other factors that may affect Neonode’s business, financial position, and other operating results, which include, but are not limited to the risk factors and other qualifications contained in Neonode’s Annual Report on 10-K, quarterly reports on 10-Q and other reports filed by Neonode with the SEC to which your attention is directed. Therefore, actual outcomes and results may differ materially from what is expected or implied by these forward-looking statements. Neonode expressly disclaims any intent or obligation to update these forward-looking statements. At this time, it is now my pleasure to turn the call over to Thomas Eriksson, Chief Executive Officer of Neonode. Thomas, please go ahead.
Thomas Eriksson: Thank you, David. Good morning, everyone and welcome to the call. Neonode posted September quarter revenues of US$1.1 million, which was in line with our internal expectations. Lars will go into the financials in more detail later on. We see a steady growth on our printer and automotive customers and we expect to see an increase in e-reader revenues. On this call, we're going to talk about customers and activities in different market segments. So let's start with our printers. Our printer customers are progressing nicely and we've seen an increase of printers in the market and license fee revenues. HP has now 12 printer models on the shelves, up nine from last quarter. We expect revenues from our printer customers to keep growing and we expect the second licensee to start shipping printers with our technology in Q4 next year. We recently signed a technology development agreement with a leading Japanese printer OEM. We currently engage with other major printer OEMs that are evaluating our technology and have also expanded our presence in Japan to local support to growing demand from our customers in this region. Our technology has been proven to the most compelling touch solution for the printer OEMs and we're on track with our strategy for the printer market and our ambition to expand our market share even further with our latest technology that will further reduce our cost, so we can maintain our royalty level. And now let's move over to talk about our exciting PC opportunities. Last quarter we talked a lot about our PC opportunities and that we're working with major PC companies to integrate our Windows certified touch technology. Our first major contract in the PC space has taken a bit longer to finish than we originally estimated. We've moved from a pure technology license agreement for single product event to a much more interesting and extensive business corporation, besides technology licensing, this agreement also involves delivering a complete touch module from our selected partners. Together with our partners, we think this is a fantastic opportunity. This increases the commitment to our technology and makes it easy for our customers to integrate our solution into their product and shorten time to market. I think this is a win-win solution. Neonode has built and enhanced our local sales presence with senior sales experts, close to our customer's development centers and headquarters in Taiwan, Korea, United States and Japan to address the required culture match in close proximity to our customers. With our latest technology zForce EDGE, we have a very strong PC monitor market opportunity. The global monitor market is today more than 140 million units annually according to IDC's June 24 report. Today's touch penetration in monitors is only 5%. This leaves us with a 95% market opportunity. Monitor OEMs are under constant margin pressure and today touch is a must have feature. At the same time, you have to have excellent optical performance on your display. For example, wide viewing angle, displays with no reflection and glare, very high contrast ratio, make sure that the colors are produced properly, high aspect frequency and touch systems with no lag and this is exactly what zForce EDGE is all about. zForce EDGE provides edge to edge industrial design that follow the current design trends in the market with very slim bezels; capacitive touch uses [wide] [Ph] bezels and is not so attractive and cannot create the same look and feel as slim edge to edge non-touch versions. The capacitive touch sensor that overlay the display introduces non ergonomic glare, color distortion, drop in contrasts and heavily parallax effect, limiting enterprise gaming and consumer adoption. We effectively remove all these issues for the capacitive touch -- phone like high cost, non-attractive ID with wide vessels and low optical performance and therefore we see this as a huge opportunity for us going forward. And now I want to talk about e-reader segment. Our zForce core technology is used by the major e-reader OEMs including Amazon, Kobo and Deutsche Telekom and others and we collect royalties from a large portion of the global e-reader device sets. Recently we increased our total market share with Amazon's launch of their latest Kindle, low cost glare free e-reader. We're also seeing an increased interest in new applications for the devices using reflected displays such as e-paper and caller LCDs. The latest 13-inch digital paper device from Sony and large display application are some examples. With our new zForce Air modules, we have a roadmap (inaudible) even lower hardware cost for our customers for the next generation e-reader products. Here is an update on the latest overdoing in automotive. During this quarter Volvo and three other automotive OEMs have started going into production with cars incorporating Neonode's zForce core technology for their infotainment system. First up was Volvo Car Corporation's launch of the new R Premium XC90. Unique properties of our touch solution enable Volvo to reduce the number of buttons significantly, by moving these functions to a big nine-inch touch screen. The system also support the latest Apple car play where you can mirror your iPhone to the car display unit. And now I would like to move over to a technology update. Our zForce PLUS technology gained Windows 8 touch certification earlier this year. Since then we've been working together with markets of another partners to make sure we will be Windows 10 touch compliant when the operating system is ready for the market. This enable us to supply touch solution for all type of PC devices and on top of that, offer compelling ad-ons like mouse pads and touch enabled keyboards. The development of our next generation sensor [shift] NN1003 is going according to plan. The purpose of the NN1003 is to deliver higher performance, lower latency, lower total cost of the hardware and improved efficiency for larger displays. Major display manufacturers such as LG and Samsung are selling displays that have smaller and smaller non-active areas on edges called edge to edge. Our zForce EDGE technology touch enable this new breed of displays while still keeping the slim bezel width and delivering the sharpness, contrast and non-glare that they were designed for. Other touch technologies that need a sensor glass such as capacitive touch have difficulties working with small bezels and that puts our solution is a great position to capture this market. And here is an update on our recent IT filings. We have expanded our patent portfolio so we to date have 53 patents issued and 115 pending, up from 45 and 105 for the second quarter of 2014. It is important for us as a licensing company to continue to invest in building our patent portfolio which we intend to do. And finally I would like to give an update on our user interface IP. During the last year, we have invested in broadening and strengthening our UA patent portfolio. In our opinion, we now have a strong and in certain respect quite unique IT position in the touch user interface space. After comprehensive review process, we have concluded that the best way forward is to continue to build a licensing business within Neonode supported by user interface patents such as the sweep gestures. We are already developing unique interface solutions that include graphical design and software containing gestures suite and other interactions. Companies that want to use our patents will be offered to license our UI solutions supporting different touch technologies. And now over to Lars, who will talk about the financials.
Lars Lindqvist: Thanks Thomas. Earlier today, we filed a Form 10-Q with the SEC and released our third quarter financial results in the press release. Both of these are available for download from the Investors section of our website at neonode.com. Our third quarter revenues were approximately $1.1 million, compared to approximately $1.1 for the third quarter last year. Our revenues for the quarter include $600,000 of license fees and $500,000 NRE fees, compared to $900,000 of license fee and $200,000 of NRE fees for the same quarter last year. The 5% increase in net revenues for the third quarter 2014 as compared to the same period in 2013 is due to revenues for new product shipment of interest and PC our engineering design services for automotive, which fully offset 74% decrease in license fees earned from customer shipping e-reading and tablet product. We have been experiencing declining license fee revenues from Sony and Barnes & Noble and continue to see a general weakness in the overall e-reader market. In September, Amazon released its latest e-reader using app touch and we expect the revenues from this customer to more than offset the decline. Our total operating expenses were $3.9 million for the quarter ended compared to $3.6 million for the same quarter last year. The 10% increase in total operating expense is due to several factors including legal expense related to patent filings and increase in headcount, primarily in our sales and engineering departments due to increased activity in the printer and PC segment. Our net loss for the third quarter was $3.2 million or $0.08 per share as compared to a net loss of $3.3 million or $0.09 a share in the same quarter last year. For the nine months just ended, revenues were approximately $3 million compared to approximately $2.7 million for the same period last year. Our revenue for 2014 includes $1.9 million on license fees and $1.1 million on NRE fees compared to $2.1 million of license fees and $600,000 of NRE fees for the same period last year. The 11% increase in net revenues for the first nine months of 2014 as compared to the same period last year is due primarily by an increase from new product shipment of printers, PC and engineering design services for automotive, which fully offset a 37% decline from license fees earned from customers shipping e-reader products. We do expect that license fees earned from the printer segment has steadily increased over the coming quarters of new printer products are released to the market. Total operating expenses was $13.2 million for the nine months just ended, compared to $11.2 million for the same period last year. The 18% increase in total operating expenses is due to the same factors that were previously discussed for the quarter. I want to take a few minutes to talk about our liquidity going forward. We expect our cash operating expenses to be approximately $16 million for 2014 and for 2015 as well, while we have the staff board to manage our new high growth business segment, particularly in the PC and printer segment. So let me explore one more step. This will average out to approximately $4 million per quarter, that's a cash flow breakeven point projected for next year and how do we get there. We have our cash on hand plus projected revenues from our existing and e-reader and tablet customers plus growing revenues from printer customers and new PC customers. In addition, we expect to continue to receive NRE payments and upfront prepaid license fees from certain PC customers. We can also (inaudible) which will accelerate the license fee payment. Putting all this together, we're confident that we get to cash flow breakeven during 2015. Our net loss for the nine months ended September 30, 2014, was $11.1 million or $0.28 per share as compared to a net loss of $10 million or $0.29 per share in the same period last year. Our operations used approximately $9.1 million or cash through the nine month ended September 30, 2014, compared to $6.5 million for the same period last year. As of September 30, 2014, we had cash of approximately $8.8 million, $600,000 of accounts receivable and $6.5 million of working capital. Our shareholder's equity is $6.1 million and they have 40.5 million shares of common stock outstanding. And now I would like to turn the call back over to Thomas for some closing comments.
Thomas Eriksson: Thank you, Lars. To recap, we expect to be cash flow breakeven in 2015 due to the expansion of PC, printer and automotive customers, combined with our additional revenues from e-readers, tablets and other products. And finally I would like to address the IR communication and performance going forward. We have been very unhappy as you may understand that our IR performance and communication for a while and we have been carefully listening to feedback from our investor base and others. We have therefore taken actions to find a more professional way of communicating our company's status to our shareholders and other stakeholders. We are in the process to outline a comprehensive investor relations strategy and program that provides current and potential investors with -- and as accurate as possible to trade of Neonode's strategy, performance and prospects. As part of that process, we will also recruit and Investor Relations professional with international experience from both United States and Asia. We're planning for management to have a more frequent investor meeting and we're also working on the refresher and consumer and Investor Relations website. This concludes our prepared remarks and we'll open the call for questions. Thank you very much.
Operator: (Operator Instructions) Our first question comes from the line of Cody Acree of Ascendiant Capital.
Cody Acree - Ascendiant Capital: Thanks for taking my questions guys, a few on the PC progress. Thomas in your prepared remarks, you talked about an expansion of maybe that initial relationship, can you just talk about where you are today in that progress when you expect to wrap some things up maybe and to the extent that you can talk about where things started and then where they've expanded to in those discussions?
Thomas Eriksson: We've expanded in a way that we have set up a partnership with a module manufacturer and this module manufacturer has been delivering modules for other customers already. And this is the way for us to make sure that these customers get fully tested modules that they can have as a drop in into their current products and make sure we speed up the integration time and make sure they get more shorter time to market, make sure our business model is still scalable.
Cody Acree – Ascendiant Capital: But I guess Thomas as you, so I can see how that working with the module maker or an ODM that might be able to just give you some turnkey would speed up the process and maybe help to extend you into other OEMs. But can you talk about, you made the announcement of that first OEM, where do things stand with that partner and you think that you are close to being able to give us more details on what that relationship looks like?
Thomas Eriksson: Yeah, I mean we're working with basically all of the large PC OEMs right now and I think you will see that these products we’re working on is mainly at the moment the larger size displays, so monitors and all-in-ones. And we're looking at products coming out during 2015. So this is [Inaudible] custom design which we do, but also retrofitting our technology into replacing capacitive touch and [factory bulking] [Ph], working on both type of integrations. And these products as I said are targeting 2015. And I guess you have a few different events during that CES in January and you have Computex later on in the year. These two events are potential launch for these products.
Cody Acree – Ascendiant Capital: So we could see products as early, the node as early as CES of calendar 2016, am I getting that correct?
Thomas Eriksson: It is 2015. This is product target in 2015, so what we're working on right now. Of course…
Cody Acree – Ascendiant Capital: I'm sorry, I thought you said 2016. Okay, so you think revenue then from those designs to help you get to that breakeven, so when do you expect we will see the first meaningful material revenue from those products?
Thomas Eriksson: I mean that's always depends on our customers and when they exactly are going to launch their products, but it is during 2015 we're looking at.
Cody Acree – Ascendiant Capital: Okay, very good. And I guess as you look at that relationship with your first announced customer, has that expanded, has that accelerated or you said that those things have taken longer, is it anything more than just your efforts to get your supply chain in line or I guess what are some of the delays or hesitations that maybe you run into and how you've been able to address this?
Thomas Eriksson: I think it’s expanded as we thought it with one category of products, but now we're looking at as we said earlier also on the monitor type applications and also of course notebooks and also accessories to PC like keyboards and mouse pad. So we have sort of a whole, a lot of different types of opportunities in the PC space. It's not only touch on a display. So, it is a variety of different products we're looking at.
Cody Acree – Ascendiant Capital: And then last from me, from a retail pricing standpoint given now with a maybe a more established cost structure that you have with an ODM module maker, when you look at sort of apples-to-apples, say monitor 15, 17, 19 inch monitor with or without touch, what's the impact that you expect that might have on the consumer price point?
Thomas Eriksson: If you look at capacitive sensor today capacity systems we’re about half of that costs for 20 inch monitor for example. And again if you look at the monitor segment a real limitation today is that capacitive touch cost a lot of extra cost which limits really the adoption of touch in that type of products, and the same with of course with all-in-ones and notebooks and so on. I think touch penetration of monitors is very low as about 5% and in notebooks about 20%, so there is a big opportunity for us in this different PC segments really make sure that they can roll out these products with touch. And basically [Inaudible] they must - they want to have touch but they don’t want to pay anything for it. And of course in all-in-one or in a monitor you might not use it that much but still want it and that's something that we can address with this technology, we can really reduce the cost to make sure they don’t to add so much cost on the street price to get this functionality.
Cody Acree – Ascendiant Capital: Very good guys, thanks for the time.
Thomas Eriksson: Thank you.
Operator: Our next question comes from the line of Rob Stone of Cowen & Company
Rob Stone - Cowen & Company: Hi guys, first I want to ask are there 10% customers in this quarter?
Thomas Eriksson: Are they what? I didn’t catch that.
Rob Stone - Cowen & Company: Customers who represented more than 10% of revenue this quarter.
Thomas Eriksson: There were four believe.
Rob Stone - Cowen & Company: And can you offer any color on that?
Thomas Eriksson: Well, we didn’t disclose it in the 10-Q, really the requirement according to everybody we talked to is just we have to say the number and so, if we want it, if we were going to disclose it we would have put it there.
Rob Stone - Cowen & Company: Okay, looking for a little more color if you can then on the engineering fees, it's been running at a fairly high level for a couple of quarters now. Do you expect that trend to continue based on the volume of projects you have? And can you comment at all on, for example how many projects were included in the 500,000 this quarter?
Lars Lindqvist: It's Lars here. I mean I'll comment on number of projects it was related to, but I can say that in 2014 a major part of the NREs is related to the automotive segment and that’s a big [Inaudible] step for us forward because that means that a customer’s basically moving into the market and launching new products with our touch solution in them for infotainment systems.
Rob Stone - Cowen & Company: That's very helpful Lars. Thank you. I actually had a couple of other auto related questions. Volvo, you mentioned the system and the model, can you say if the other OEMs that you said are going into production, is this on an aftermarket product or is this factory equipped, the other auto OEMs who are starting production?
Thomas Eriksson: No, this is Thomas here. The customer is global companies and the cars are global launched over the world. So we have also some - some of them are in China for the China market, South America and global penetration of [Inaudible] car.
Lars Lindqvist: They are factory equipped, not after market.
Thomas Eriksson: So, there is nothing aftermarket type of, it's infotainment systems that are installed from the beginning in the car, same as the Volvo, for example.
Rob Stone - Cowen & Company: And if I recall correctly, a fair amount of the deferred revenue that was on the balance sheet historically was within the auto segment. I know that ticked down slightly from the second quarter. Is that related the auto customers trying to ship.
Lars Lindqvist: No, about a third of it was related to the auto customers and no, it hasn’t. The reduction is associated with others.
Rob Stone - Cowen & Company: Okay, excellent. Finally just a housekeeping question for Lars. You've mentioned you have the people in place that you need. What is the total headcount at the moment?
Thomas Eriksson: We are today at 60, roughly 60 totally in our organization of which still the dominating part being in Stockholm, Sweden.
Rob Stone - Cowen & Company: Great, thank you.
Thomas Eriksson: We have a[Inaudible] strength in our organization in the sales dimension due to the fact that we need to be out and working multi-parallel opportunities on the PC and the printer markets.
Rob Stone - Cowen & Company: So are you going to be adding headcount you think in the next year or do you have what you need for a while?
Thomas Eriksson: Our view is that we have the resources we need for managing the opportunities in 2015. So we have been very focused on [Inaudible] as to have research & development people, engineers and also sales, the core people being [Inaudible].
Rob Stone - Cowen & Company: Okay, thank you, that's all the questions I had.
Operator: Our next question comes from the line of Mike Malouf of Craig-Hallum Capital Group.
Mike Malouf - Craig-Hallum: Great, thanks for taking my questions. I'm wondering if you could expand a little bit more on your comment on the printer side. You said that you expect the second printer to ship in Q4 of next year, but I don’t think that you have anything officially signed yet, so I'm a little confused about that, can you help us out?
David Brunton: This is Dave. Yeah actually we do, I think we talked about some in the past having the second printer, I think we actually named them with Lexmark. So Lexmark is actually we've been working on that for quite some time and we probably talked about it in previous calls that they were, in their inkjet group, which they discontinued back in I think it was the end of 2012 or some time maybe around there, but we still are in the laser side of the house and those printers are slated to come out in the second half or late third, early fourth quarter of 2015.
Mike Malouf - Craig-Hallum: Okay, all right, that makes sense. And if I could just ask a question on the PC side, I know that you talked about having PC revenue next year. But without anything signed now and I know you've seen things push out, I mean what gives you confidence that that isn’t really more like a 2016 story instead of 2015 story? I mean what gives you the confidence around that? Thanks.
David Brunton: This is Dave again. I'll take that question. Really what gives us confidence is we have to separate the two functions that are going on here, the license function and the engineering function. So the license, the signing of the license has taken a little bit longer, but the engineering side which is the more important to get to revenue is going full steam ahead and actually faster than anyone could have imagined. And so, both the OEMs and our team have been working just incredibly hard in Taiwan and in Stockholm and in the U.S. on these projects, these identified projects. These are not sales efforts. These are not prototype projects. These are identified product lines that they are currently shipping, that they are either retrofitting or they are redesigning and so they have a plan in place.
Mike Malouf - Craig-Hallum: And what will be the next, so what will be the next, let's call it, the next official step for them to lock in this plan with you?
David Brunton: I think the next official step would be the actual signing of the license agreement which we expect to take place. We have every confidence that both this and others are going to move forward rather rapidly and then I think the next step that you will see is probably one of the shows that Thomas mentioned, probably the January show. There may be some product show.
Mike Malouf - Craig-Hallum: So at CES in January Thomas do you think, you still don’t know if there will be product shown there or do you have confidence that it will be shown there now?
Thomas Eriksson: No, we can’t talk about that because our signed NDAs with this company that is quite a secret still. As I said before it’s two opportunities for us next year to show products, one is CES, other one is Computex and then a few smaller shows. But these two are really the major events. And exactly when these companies are putting up products and when they're going to show it it's really something they have to decide and we can't really influence. We can only make sure that which we have done with securing the whole module business and everything so they can get it into their products as fast as possible, and the rest is really up to them to decide and we can’t discuss that unfortunately.
Mike Malouf - Craig-Hallum: Okay, great, thanks for taking my questions.
Thomas Eriksson: Thanks.
Operator: Our next question comes on the line of Jared Cohen of J. M. Cohen & Company.
Jared Cohen - J.M. Cohen & Company: My question has been answered. Thank you.
Thomas Eriksson: Okay, thanks.
Operator: (Operator Instructions) Our next question comes the line of Yitzy Weitman of J.H. Darbie.
Yitzy Weitman - J.H. Darbie: Yeah, thanks for taking my call, but I think you might have touched upon again the PC that you talked about last quarter that was, a contract that was supposed to be announced and we didn’t hear a contact. Do you have any more to say about time on that? Could you say will it be in the next couple of weeks or in a couple of months this quarter? That same PC deal is there a contract that’d going to be signed within sort time notice?
David Brunton: Yitzy, we would love to be able to say yes and give you a timeframe. But all I can say at this point is as Thomas said the contract is a little more complicated than a simple license agreement and we have been working and our head of sales has been working with them continually to get all of the points, Is dotted and Ts crossed and you know we have every confidence that will get signed. We just don't know what date it will be.
Yitzy Weitman - J.H. Darbie: So you do have all confidence that it's going to get signed, it's only a matter of timing and coming to the conclusion, but there is no reason to concern anyone this is still the same commitment to this OEM as before.
David Brunton: Yes, of course. On our side I would say absolutely yes, but I want to caution until things are signed, they are not signed and so, you know who knows. Yes we have all, every confidence in the world that is going to be signed and we are going to be moving forward and product will be in the market in 2015 and I believe they do too. You know, what can I say?
Yitzy Weitman - J.H. Darbie: Okay, and as far as, as case on hand, you’re confident until then because - do you have a chance to getting pre-paid for these contracts from any of these OEMs?
Thomas Eriksson: Yes. And that's for sure, this stays always a thought of the sales process to review that and balance it, we always consider that possibility when it comes to NRE prepayment. That's always in the sales process because we want to get funding for the customer related development project. So answer is yes, we always review that [thought over] [ph] sales process and keep it in the negotiation that’s always a balancing act.
Yitzy Weitman - J.H. Darbie: Okay, thank you.
Thomas Eriksson: Okay, thanks for calling.
Operator: Our next question comes from the line of Michael Malouf of Craig-Hallum Capital.
Michael Malouf – Craig-Hallum: Just one follow up question and based on timing on the PC side, if you were able to have product at CES in January and that was out there for people to see and one of your OEMs were to presented it, would you have had license agreement signed prior to that or could they actually put the product out there without a license agreement?
Thomas Eriksson: You know that, I say the answer is yes, that would be our hope and I think that that would be a reasonable expectation.
Michael Malouf – Craig-Hallum: Great, thanks a lot. That’s all I have.
Thomas Eriksson: Okay, thank you Mike.
Michael Malouf – Craig-Hallum: Thanks.
Operator: (Operator Instructions) I'm showing no further questions at this time. I will now like to turn the floor back over to Thomas Eriksson for any closing or additional remarks.
Thomas Eriksson: Okay, thank you very much for this call. I want to thank everyone for joining us. We believe this is a very exciting time for us in the market and we'll keep you posted on our progress as it happens. Thank you and have a very good day.
Operator: Thank you for joining Neonode's third quarter 2014 earnings conference call. You may disconnect your lines at this time and have a wonderful day.